Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Tuesday, July 21, 2015. I would now turn the conference over to Erik Staffeldt, Finance and Treasury Director. Please go ahead, sir.
Erik Staffeldt: Good morning, everyone. And thanks for joining us today on our conference call for our second quarter 2015 earnings release. Participating on this call for Helix today is Owen Kratz, our CEO; Tony Tripodo, our CFO; and Alisa Johnson, our General Counsel. Scotty Sparks, our Executive Vice President of Operations is traveling on Helix business. Hopefully, you have had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab and the Slide Presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Alisa Johnson will make a statement regarding forward-looking information. Alisa?
Alisa Johnson: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this call or in the associated presentation, other than statements of historical facts, are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number of variety of factors, including those set forth in our slide two and in our annual report on Form 10-K for the year ended December 31, 2014. Also, during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliation, along with this presentation, the earnings press release, our annual report and a replay of this broadcast are available on our website. Owen?
Owen Kratz: Good morning, everybody. Let start right out with slides five and six, which is the high level summary of the Q1 results. From a bottomline perspective Q2 represented a step back from Q1 results. These results were directly attributed to very low utilization level for our two Gulf of Mexico well intervention vessels the Q4000 and the H534. The Q4000 spent most of the quarter in regulatory drydock longer than we had anticipated. The H534 was idle for 41 days in the quarter as well. The low utilization in the Gulf of Mexico fleet was partially offset by much better performance in our North Sea base well intervention business as Well Enhancer was fully utilized in the Skandi Constructor went to work in late April and stayed productively employed the remainder of the quarter. The Production Facilities business improved over Q1, while Robotics slipped slightly. As a result, Q2 EBITDA came in at $36 million versus $51 million of EBITDA in Q1. Turning to slide six, more on the Robotics business. We did achieved decent utilization on our Robotics fleet at 81%. However, lower day rates for our Robotics spread resulted in a relatively slight regression in results. I'm pleased to report that we took delivery of the Grand Canyon II in May and she went to work immediately thereafter on trenching project on the Baltic Sea. On the slide seven, from a balance sheet perspective, our cash and liquidity remains strong. Cash increased to $500 million as we drew down the Q5000 loan facility in conjunction with taking delivery of the vessel at the end of April. Cash along with the unused portion of our credit facility has our liquidity levels at $1 billion. Net debt at quarter end was $294 million. I will now turn the call over to Erik for an in-depth discussion of our contracting service results. Erik Staffeldt has been with the company since 2009, will take a more prominent role in Investor Relations activities. Many of you worked with Terrence Jamerson for the past few years and I am pleased to say that we have promoted Terrence to head up our Production Facilities business. Erik?
Erik Staffeldt: Thanks, Owen. Moving on to slide nine. In our Q2 results did take a step back from Q1 as we continue to see the effects of the weak oil industry on our performance magnified by our scheduled vessel downtime. Our revenue in the second quarter decreased 12% over our first quarter revenue to $166 million. Our gross profit margin decreased from 80% in Q1 to 15% in Q2, driven by the decrease in revenues. Weaker utilization in our well intervention business unit was a primary driver of lower revenues, as the Q4000 was in drydock 64 days, 19 days longer than planned. This was partially offset by improved results from our North Sea based well intervention unit. Our Robotics business unit revenue was lower by 6% quarter-over-quarter driven by lower selling rates of our chartered vessel fleet. In the second quarter we increased our chartered vessel fleet to five vessels with the scheduled delivery of the Grand Canyon II. The performance of our Production Facilities business unit improved slightly with higher revenue and with no downtime in the second quarter compared to the first quarter and with lower [R&F] [ph]. Moving on to slide 10 for our Well Intervention business unit. In the Gulf of Mexico the Q4000 was in drydock for the 64 days, 19 days longer than planned. We experienced the combination of standard shipyard delays and delays in the refurbishment of the Q4000 thrusters. H534 was 50 -- was -- utilization was 55% for the quarter, vessel was idle over 41 days of the quarter. Work scheduled during the quarter for the vessel was delayed as we were not able to fill the gap. The H534 is currently idle and it’s scheduled for drydock during the second half of Q3. IRS #2, our spare rental intervention riser system was on hire the entire quarter. IRS #1 entered the rental market in early June on a 210-day contract. On a positive note, both of these rental units are under contract for the rest of the year. We took delivery of our newest well intervention vessel the Q5000 at the end of April. The vessel began her transit to the Gulf of Mexico in mid-May. She is expected to arrive in early August upon completion of commissioning of the vessel and integration of the ROVs and intervention system. The vessel is expected to be available for work in early Q4. In the North Sea our utilization increased to 84% during Q2. This number does not include the Seawell, which was out of service during her life extension drydock. The Well Enhancer was again fully utilized during the quarter. The Skandi Constructor began operations on 120-day campaign at the end of April after being dockside most of Q1 and most of April. Moving on to slide 11 for our Robotics review. The results of our Robotics business unit remain consistent quarter-over-quarter. The utilization of our ROV and trencher fleet was the same in Q2 as in Q1, 61%. We typically benefit from the seasonal increase in utilization during the second quarter driven by spot vessel work and work on customer vessels. This did not materialize in Q2 as it has in prior years. The chartered vessel fleet utilization decreased to 81% in the second quarter, despite an increase in our number of days work. During the second quarter we increased our chartered vessel fleet to five vessels with the delivery of the Grand Canyon II. After short integration period the vessel was mobilized with the T750 trencher on a cable burial project in the North Baltic Sea with work carrying over to Q3. The Grand Canyon T1200 trencher and iTrencher were fully utilized for the quarter working on a power cable burial project offshore Qatar. The Olympic Canyon was fully utilized in India during the quarter. The Deep Cygnus with the T1500 worked for 57 days on a cable burial projects in the North Sea. Rem Installer based in the Gulf of Mexico worked 49 days on various ROV projects. Moving over to slide 12, I will leave this slide detailing vessel utilization for your reference. Moving on to slide 14, for review of our key balance sheet metrics, our funded debt at June 30th increased to $812 million driven by $250 million Q5000 term loan drawn in conjunction with the delivery of the vessel. Starting in Q3 the combined amount of principal payments required by our term loan will reduce our funded debt balance by $16.4 million quarter. Moving on to slide 15, it provides an update of our gross and net debt levels at year-end and June 30th. Our net debt position increased to $294 million in the second quarter from $131 million in the first quarter. Our cash position in the second quarter increased by $85 million with the proceeds received from the Q5000 term loan net of CapEx spending. Our liquidity at June 30th comprised of cash and revolver availability was approximately $1 billion. During the second quarter, we amended our credit facility leverage covenant to provide greater access to our revolver during this cyclical downturn. I will now turn over the call to Tony for discussion on our 2015 outlook. Tony?
Tony Tripodo: Thanks Erik. Moving over to slide 17, the disappointing second quarter and our lower-for-longer outlook has led us to revise our full year 2015 forecasted range of $160 million to $190 million. That being said, we should see an improvement in quarter three over quarter two as a result of North Sea fleet expected to be fully utilized with the exception of the Seawell in our Canyon fleet looks to keep busy as well in Q3. While this improvement in quarter three is expected, it is not of course fully assured. The key for the full year revolves around filling utilization gaps for our well intervention fleet particularly in quarter four. On to slide 18, which provides more detailed guidance on specific assets, I'll just mention a couple of the more notable items. The H534 is scheduled for regulatory drydock in Q3, depending upon how work materializes or not. The H534 maybe warm stack and any work that develops for her maybe moved over to the Q5000. The Seawell is likely to be warm stack for the remainder of 2015 after she completes her refurbishment project. We are warm stacking these vessels for now as both the Seawell and the H534 have opportunities in 2016. We have not made a decision yet on whether to extend the charter on the Skandi Constructor based on how potential work develops for that vessel beyond the charter expiry of March 16. In general, utilization for the Robotics fleet looks good in quarter three but we expect a normal seasonal drop off in Q4. Our backlog as of June 30th held steady at $2.1 billion. Our forecasted 2015 CapEx -- I'm now at slide 20, remains essentially the same at $365 million with most of the spending associated with the Q5000 completion, which is almost all behind us now, as well as the two vessels under construction for Petrobras. The Q5000 is currently in transit as Erik mentioned to the Gulf of Mexico and is expected to arrive here in the next couple of weeks. Upon arrival, we are planning to complete commissioning and as mentioned earlier, we hope to put it at work in Q4 ahead of her scheduled start date with BP next April. We have reached agreement with the shipyard to the Q7000 slow down and delay delivery of this vessel until 2017. This will allow us to defer over $200 million of CapEx from 2016 and 2017 and more importantly, avoid bringing the vessel to market in the current environment. I'll skip slides 21 to 22, leave them for your reference and now turn the call over to Owen for closing remarks. Owen?
Owen Kratz: Thanks Tony. Well, no doubt, Q2 was a sloppy quarter for Helix as both the general market malaise and the Q4000 drydocking had a major impact on our results. I’ve characterized the current market environment as having a kind of bouncing along the bottom field to it. That being said, there's a lot more dialogue ongoing with our customers for well intervention work and activities in 2016. If a lot of this work materializes for us, we could see a bounce back in our well intervention business next year, which would also benefit from the commencement of the BP contract. We believe the well intervention activity will pick up over time. We just can't be certain as to the timing. However, we do see at least a potential for some recovery in 2016. We’ll have to see what happens as we go through this next budgeting cycle by the industry. 2015 has been characterized by drastic level spending cuts, work cancellations or deferrals by our clients. The entire industry supply chain is under pressure to reduce cost to compensate for the customers reduced level of cash flow due to the oil price collapse. Helix has reduced total headcount so far in the company by 20%, lowered offshore wage packages as well as negotiated discounts from our vendors. The entire industry is rebasing but this will take some time to fully realize. The immediate focus for us has to be on number one, maintaining adequate liquidity to complete our current capital obligations, which are primarily the construction of the Siem Helix I and II as well as the Q7000 And second, we need to continue to focus on being a cash positive from our operations as possible. We’re also in constant dialogue with our clients working to find ways to preserve currently contracted work and facilitate ways for future work to be budgeted and done. As has been widely circulated in the news, Petrobras launched a major effort to reduce its overall spending outlays in light of the macroeconomic factors affecting our industry. It’s our understanding that Petrobras has reached out to many of the service companies it does business with, seeking assistance in this effort. Petrobras has reached out to us as well and we’re currently in discussions with them to figure out a way we can help them but also make sense for us as well. We’ll inform the market of anything is finalized that’s materially different from our prior commentary on the contracts. This current situation in our industry is looking like a lower-for-longer scenario and this premise over the next year or two. This downturn will be transformative for our industry. Strong company is taking aggressive steps to manage costs. We’ll emerge stronger in the long run but it will take time. For now, the process has to be managed day by day and we’ll share what we know, when we know it and we’ll try to avoid forecasting what is for now unknowable. But just take it from us, we’re on top of it. With that, Erik, I’ll turn it back over for questions.
Erik Staffeldt: Okay. Operator, we’re ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Chase Mulvehill. Your line is open. Please proceed with your question.
Chase Mulvehill: Hey, good morning.
Owen Kratz: Good morning.
Tony Tripodo: Good morning, Chase.
Chase Mulvehill: So I guess, let’s talk about under the lower-for-longer scenario. How many quarters do you think the Seawell and H534 could be warm stacked?
Owen Kratz: Difficult to tell right now. As I said, we do see the work out there. There is work but it’s just the propensity of the clients to be willing to spend the money to get it done. We don’t know when that’s going to happen. And I’m afraid before we could give anything definitive, we’re just going to have to wait and see what the budgeting process with their clients holds for us.
Chase Mulvehill: Okay. So as…
Tony Tripodo: Owen, let me add to that. I think it’s more likely than not both vessels will be warmstacked rest of this year. However, the H534 has confirmed backlog for 2016. It’s not a lot but it’s some. And both vessels have opportunities that they are bidding onto. So I think there is certainly the H534 should go back to work next year and the Seawell is going to be dependent upon whether some of these bids get confirmed or not.
Chase Mulvehill: Okay. And what’s the associated warm stacking cost?
Tony Tripodo: From the warm stacking cost, we feel we could reduce our operating cash expenses by two-thirds to 75%.
Chase Mulvehill: Okay. And so, I guess last unrelated follow-up. So what about the current spot day rates on the well intervention side? Have they taken another leg down recently or they stabilized?
Owen Kratz: I don't think that they’ve taken another step down. I think what's going on right now is we are just seeing different clients at different times looking for that first step down. But we haven't seen a second step down.
Chase Mulvehill: Okay. All right. So, it’s just marking the market, is kind of what you're seeing in your current results.
Owen Kratz: I think some clients were earlier jumping on the bandwagon of pressing for discounts and others are now following soon.
Chase Mulvehill: Okay. Got it. I will turn the mic over. Thank you.
Operator: Our next question today comes from the line of Joe Gibney. Your line is open. Please proceed with your question.
Joe Gibney: Thanks. Just following up on the 534, Tony, you referenced that there is confirmed backlog, so I’m just trying to get a sense of when that backlog starts, or is that subject to negotiation as well?
Tony Tripodo: Well. Well, it does have -- it does have backlog for the rest of the year for projects that customers are seeking to delay. However, the question there is can we move some of that backlog onto the Q5. So that's one of the variables. It does have backlog in 2016. It is firm, it’s contracted. I wouldn’t say it's extensive but there's other work it’s bidding for. I would expect the H534 to be going back to work if not in Q4, in 2016, Joe.
Joe Gibney: Okay. And just in terms of time to get these assets back into the fleet out of warm stack, saw some of the OpEx reduction you gain, but what is the timeframe to bring it back out? Is it roughly a quarter, is that a reasonable assumption to get recalibrating, get the asset ready to go?
Owen Kratz: Go ahead, Tony.
Tony Tripodo: No, go ahead, Owen. You are better to answer that question than me.
Owen Kratz: It is much quicker than a quarter. The people are still available. The vessel is warm stack. It’s still manned with the navigating crude so that we can even -- we can move it. So it’s a relatively quick process. I would say two to three weeks. It will probably take us longer to engineer the work that needs be done than it would be to ramp the vessel back up.
Joe Gibney: Okay. And last one for me, it sounds like a fluid situation on working with Petrobras, but is an elongated delivery schedule possible or some sort of change in contract for the same vessels possible or sort of all things on the tables as you are trying to negotiating to kind of navigate the current situation?
Owen Kratz: Are you speaking about a specific client or in general?
Joe Gibney: Just Petrobras specifically as it pertains to your contracts with SEM, is sort of an elongated delivery a possibility now for these two boats or change in contract structure, just trying to understand maybe what you're alluding to, or is it still obviously a big work in progress?
Owen Kratz: It’s actually a big work in progress right now. We are in dialogue right now. So there is not a whole lot I’d like to talk about it right now, other than to say that we do have very firm strong contracts with Petrobras. So it’s a matter of how far are we willing to go to work with them and of course, they are a big client. I see a big future with them. So, we are trying our best to come up with something that approaches a win-win or lose-lose.
Joe Gibney: Sure. All right. Appreciate it. Thanks guys. I will turn it back.
Operator: Our next question comes from the line of Ole Slorer. Your line is open. Please proceed with your question.
Ole Slorer: Yes. Thanks a lot. Wonder whether you could just help us understand the components of the delta in the EBITDA outlook. When it comes to the well intervention side, how much of it is driven by increased downtime in drydocking and are there kind of operationalist specific items versus customers delaying well intervention programs?
Tony Tripodo: Ole, I would say that the majority relates to market environment versus internal specific issues. I’d say the drydocking on the Q4 cost us $4 million to $5 million of this reduced forecast. But I think almost everything else really relates to market activity issues.
Ole Slorer: Okay. So based on previous cycles or discussions with customers, do you see -- when it comes to the timing of resurgence of well intervention, clearly this is largely, at least temporarily a discretionary spend on behalf of your customers although, clearly at some point they needed to catch up again. So how do you sense that, that’s going to play out and maybe a related question regarding that? Do you see that you're losing market share to contracted rigs that are being used for well intervention, or is it an overall kind of lack of activity and deferral of maintenance of wells?
Owen Kratz: I will take a shot at that, Tony. Ole, you mentioned a lot of factors there and each one of them plays their part. But by far and away on several investor presentations in the past, we’ve always tried to emphasize people that utilization drives our margin and profitability far more than rate does. Right now what we are seeing in the market is certainly, the rates are under pressure, but we have a lot of room between us and drill rigs on rates and we also have the efficiency gains over drill rigs. So the drill rigs are not really hurting us. What is hurting us right now is that there's just been a flat moratorium and mandate from producer, corporate offices to not spend this year. And it’s caused a lot of projects not to go forward and in quite a few cases, they have been terminated and that’s what we are seeing right now. We are also seeing because our guys are constantly working with the engineering staffs of our clients. So, we are seeing the backlog of the work that does need to be done. So, we do know it’s out there. It is just, when are the producers going to release some spending. My hope is that ‘15 was sort of a reactionary and it is severe in order to rebase the industry out of better cost. But the work is going to have to get done and my hope is that some of this work that we are saying, at least on the drawing boards for next year does make it through the budgeting process.
Ole Slorer: And I would agree with that given the maintenance aspects of a lot of the stuff. So anyway, thanks for that.
Operator: Our next question comes from the line of Martin Malloy. Your line is now open. Please proceed with your question.
Martin Malloy: Good morning.
Owen Kratz: Good morning.
Martin Malloy: With the -- upon completion of the newbuild program, assuming market conditions remain relatively at these levels, kind of bouncing along the bottom as you described, can you give us a range of where you think your net debt might end up?
Owen Kratz: Erik, you want to or Tony?
Erik Staffeldt: Yeah. I will take that. Is that the end of our capital expansion you mean?
Martin Malloy: Yes.
Erik Staffeldt: Okay. Obviously, we stated before that through the next couple years with the market in the condition that it is that we would be consuming our cash position. We also have a fairly aggressive payback of our principal. So I believe that our net debt position would be somewhere south of $400 million at the end of the campaign.
Owen Kratz: I think it is worth noting that our gross debt right now is -- as of right now I don’t think our gross debt is forecasted to increase given the amount of principal repayment that we have each year.
Martin Malloy: Okay. That’s a correct statement.
Tony Tripodo: Yes. It’s fair statement. I think our own internal model suggests that we peaked on that. If you look at capital spending this year, the majority of our CapEx spending for this year is behind us. So the majority of capital spending going forward for the next two years, particularly with the deferral of the Q7, is really related to the two Petrobras vessels, which are under contract.
Martin Malloy: Okay. And then I was wondering -- could you provide us with an update as far as the alliance with OneSubsea, and how that's going? And any commentary you might want to offer about how the Subsea 7, OneSubsea alliance might impact you all?
Owen Kratz: Well, the alliance has already impacted us quite a bit and that it’s opened up a lot of market areas that we weren’t looking at before. So along with OneSubsea, we’re now penetrating those areas. And on top of that, we’re much stronger when we go in offering an integrated solution along with OneSubsea than we’re on our own. So it’s helped us there already immensely at least in the dialogue. But like I said before and until somebody decides to start spending some money, it is all talk, but it does hold a lot of potential and promise.
Martin Malloy: Thank you.
Operator: Our next question comes from the line of [Haithum Nokta] [ph]. Your line is open. Please proceed with your question.
Haithum Nokta: Hi. Good morning. Owen, I wanted to just follow up on your earlier comments alluding to kind of moratorium of capital spending. Can you kind of compare and contrast how the majors are acting in your conversations versus maybe the smaller independents?
Owen Kratz: Well, the independents use us much more on a spot basis. So therefore, we typically don’t get called by the independents unless there is a real need. So the behavior and the relationship between us and the smaller independents has really remained unchanged. Where we’re seeing the most pressure on being asked to work with them is from the majors and the large independents and that’s really consumed most of our year.
Haithum Nokta: Okay. Thanks for that. And I guess just switching gears a little bit on the robotic side, can you give a little color on what happened in 2Q? I guess I am a little surprised that there wasn’t at least a modest kind of tailwind seasonally following 1Q.
Owen Kratz: Other than just the lack of activity and the cancellation of work, that’s all I can tell you, that would be my best guess at this point. We are not seeing any encroachment. I am sorry.
Haithum Nokta: Go ahead.
Owen Kratz: I would just add, I don’t think that we are seeing an encroachment on our market share by the competition. Rates have softened so that’s part of it. And we did pick up the extra vessel, so that might have impacted our utilization. But other than that, the utilization was not that bad for the second quarter. So it’s mostly rate related.
Erik Staffeldt: Haithum, just to elaborate a little bit further on that, when you compare second quarter this year let’s say even to second quarter last year, I think we referenced it in our utilization chart, the number of days that we had spot vessel work associated with our Robotics. In Q2 of 2014, we had 160 days of spot vessel work in 2014. This year, we only had 13 days. And so that work that typically happens during this time of the year, has not materialized due to the obviously weak market conditions.
Haithum Nokta: Okay. Fair enough. Thank you.
Operator: Our next question comes from the line of Praveen Narra. Your line is open. Please proceed with your question.
Praveen Narra: Hi, good morning. It obviously doesn't look this way given the outlook for more activity in 2016. But when you think about the breakeven analysis on cold stacking of vessel, how do you go about thinking about that process? And really, at what point does it make sense to cold stack? What length of time does a vessel need to be idle to make that balanced?
Owen Kratz: It varies from vessel to vessel. The process that you go through is you just reverse calculate the number of days that you need at the expected rates to breakeven. It’s really that simple. It doesn’t take too many days to make it worthwhile bringing the vessel out.
Praveen Narra: Okay. So are we talking quarters instead of years?
Owen Kratz: Again it just depends on what materializes through this budgeting process. I think it’s a pretty much of a given that the 534 and Seawell will remain stacked through the end of the year. And then next year, we just don’t have to wait and see what the budget holds.
Erik Staffeldt: Yes. Let me add to that. I think there is a big difference between warm stacking and cold stacking of vessel in terms of the ability to bring that vessel back to work in a reasonable period of time. I think it’s way too early for us to consider cold stacking any vessels, particularly with the prospects that are out there for 2016. So really from our standpoint, it’s not in our thinking right now.
Praveen Narra: Okay. When I heard stacked, I just sort of assumed one stack because cold stack isn’t in…
Erik Staffeldt: I don’t think it’s in the card. Yes, it’s not in the cards, Owen, right now. I just think we have, I hate to use this word, too many opportunities for 2016 to consider cold stacking at Seawell or any H534. And cold stack really renders the vessel difficult to bring back to light so to speak versus the warn stacking.
Praveen Narra: Okay. That’s helpful. I guess to that point, I guess can you give us the sense of how much of the utilization declines we have seen this year have been due to the slowdown of P&A versus other activities?
Owen Kratz: I don’t have that breakdown, but it depends on the region as well. In the North Sea, there was a larger drop-off on P&A than in the Gulf of Mexico because the Gulf of Mexico is more regulatory driven than the UK is. Production enhancement, I would say, well I would say in general the Gulf of Mexico has been more active than the North Sea. The North Sea has really taken a big hit.
Praveen Narra: Okay. So does that come back next year then? Is that part of the opportunities that are out there?
Owen Kratz: The P&A side? Yes, when the Gulf of Mexico I think is -- because it’s regulatory driven, it will be in the North Sea. I don’t think that the P&A comes back strongly next year. In the North Sea, I think it’s more of a question of producers wanting to add to their production. So, I think it’s the production enhancement that you see increase next year.
Praveen Narra: Okay. Perfect. Thank you very much for the color.
Operator: Our next question comes from the line of [Willie Malfoy] [ph]. Your line is open. Please proceed with your question.
Willie Malfoy: Hey. Good morning, guys. I was just looking that the backlog was flat quarter-over-quarter. Can you go over what was booked and when you should realize what was booked?
Tony Tripodo: Well, I would say this. I wouldn’t read too much into that. I mean, with $166 million of revenues, it’s really a rounding error. We did book some work but nothing significant.
Willie Malfoy: Okay. So how much is the backlog expected in the second half of ’15?
Tony Tripodo: I would say the vast majority of our backlog is beyond 2015.
Willie Malfoy: Okay. So in the North Sea with the stacking of the Seawell, will that impact whether you renew the Skandi?
Owen Kratz: Yes. That’s a difficult one. Yes and no. The vessels, the Skandi does not have diving on board and the Seawell does. So the types of work that they’re employed on are really two separate markets. That’s why I’m not trying to hedge the answer. It’s just they work different markets.
Willie Malfoy: Okay. All right. And so with the stacking, it’s just the last one, how quickly can you all get it down the daily OpEx?
Owen Kratz: Again, that’s by region. It depends on how you’ve contracted your employees. Right now we’re going through what’s call the redundancy process here in the North Sea, which takes a considerable amount of time compared to the Gulf of Mexico. So the Gulf of Mexico is fairly quick process, which we’re going through right now. In North Sea, we will probably drag on until we won’t see the full impacts of downsizing until the fourth quarter?
Willie Malfoy: Okay. And the 534, it’s going to do the work and then be stacked after the 45 days possibly?
Owen Kratz: After the dry dock.
Willie Malfoy: Okay. Not before. Okay.
Owen Kratz: No. Yeah.
Willie Malfoy: So, after the dry dock.
Owen Kratz: After the dry dock, correct.
Willie Malfoy: Okay. That’s what I thought. Okay. Thank you very much. You have a good one.
Owen Kratz: Thanks.
Operator: [Operator Instructions] We have a follow-up question from the line of Chase Mulvehill. Your line is open. Please proceed with your question.
Chase Mulvehill: Thank you for letting me in. So real quick on the Robotics. As we kind of move forward to 2016, can you talk about kind of tendering activity you’re seeing and kind of the puts and takes of pricing and utilization as we move into 2016 versus 2015?
Tony Tripodo: All right. Chase, let me take that one. I think it's important to know that historically, we've always had short visibility windows in the Robotics business and it's no different today. Typically, you don't have visibility out any longer than six months and often time is shorter than that. So, I’m going to say the current environment is no different. So it’s very difficult to comment about visibility in 2016 for Robotics, given that how the business operates. So, right now it's way too early to tell how 2016 may or may not shape up.
Chase Mulvehill: Okay. So what are you seeing on the leading edge for pricing for this business?
Tony Tripodo: I would say pricing is under pressure as Owen mentioned. We’re having good utilization. We’re winning work. But again, customers are expecting and demanding lower costs. So, we are having to suffer through that. We do have some pricing leverage outside the oilfield space. When it comes to trenching, we've been able to maintain decent pricing in the renewable energy space but if it’s energy related, we’re obviously seeing pressure there too.
Chase Mulvehill: Okay. So, if we were to think about leading-edge pricing, are we talking down 10%, 20%, 30%?
Tony Tripodo: It varies job-to-job. I’m guessing right now of top my head, Chase, 15% to 20%.
Owen Kratz: I think it’s fair to say currently that most producers are going through a process of trying. They’re requesting a 25% reduction, of course that’s not going to happen. You negotiate somewhere in between that and then that amount is further reduced by your offset of what you’re able to do with lowering your cost structure. That’s why in my comments I said it’s going to take a while for everything to rebase and really see where margins fall out.
Chase Mulvehill: Okay. And given the recent $10 plus kind of sliding crude prices over the last month, have your customers now come back and requested more pricing concessions or is it still just too early to kind of have those discussions here?
Owen Kratz: No. It’s like I said before. I think what we’re seeing is client [Technical Difficulty] taking their turn coming as and asking for the first pricing concessions. We’re not seeing a second trench and we have good relations with the clients. And I think for the most part they have -- our efforts to work with them have been well received. So knock on word, I don’t anticipate further rounds of concessions.
Chase Mulvehill: Okay. Awesome. Thank you.
Operator: Our next question comes from line of George O'Leary. Your line is open. Please proceed with your question.
George O'Leary: Good morning, guys. I was just wondering if you could just kind of characterize the North Sea market versus the Gulf of Mexico market and if you have any indications based on discussions with customers as to, if one of these markets you may have already seen a trough from an intervention project standpoint and which market, as you look out going forward may rebound first as we progress into 2016?
Owen Kratz: This is a real wag, but I would say that the -- I would anticipate the Gulf of Mexico market recovering quicker than the North Sea market, because of it’s a lower cost to produce there and change occurs little more rapidly in the Gulf of Mexico. It’s also dominated by more independent so I think which are little more focused on enhancing production and generating some cash. So my guess is that we’re going to see a better rebound in the Gulf than the North Sea next year.
George O'Leary: And then you guys are currently precluded from doing P&A in certain markets as you can't pull tubing open water, is there any progress in that front? Are you guys working to find a solution to where that segment of the market opens back up or does this downturn kind of kick that can down the road as you kind of have to focus on the current market more than the outlook?
Owen Kratz: Well, just to clarify a little bit. There is no region that precludes or prohibits pulling tubing open water. That's really left to the producer or client preferences as to whether or not they want to do that. And we are working on solutions for being able to satisfy the client requirements even of those that don't want to pull it open water. We’re working on solutions for being able to pull that tubing as well. So as far as pulling tubing is concerned, I don't think that that’s a major hindrance for us, especially once we get the Q7000 being -- right now being able to pull tubing in the North Sea. In general, it’s more difficult for the Q7000 to do it easily.
George O'Leary: Okay. Thanks for the color guys.
Operator: Our next question comes from the line of [Bill Zalem] [ph]. Your line is open. Please proceed with your question.
Bill Zalem: Thank you. First question is relative to the opportunities that you've referenced for 2016, would you talk a little bit about the split between the well intervention discussions and any Robotics discussions?
Owen Kratz: I -- just on a very general sense and I’ll turn it over to Erik because he can probably set better light on it. But, in general well intervention fell off quicker here than Robotics because Robotics is a construction support activity and therefore there were a number of legacy projects caring Robotics going forward. I see intervention picking up before Robotics again and that’s driven by the eventually the producers are going to want it -- generate more production, therefore they going to want to go back into their wells and doe the production enhancement.
Erik Staffeldt: Yeah. I agree, Owen. I think, well intervention as Owen mentioned fell faster and will bounce back quicker. And lot has to do with well intervention as a bigger ticket cost for the customer. So when you are looking at cost cut major dollars, the well intervention project cost to customer anywhere of north of $500, 000 a day. However, ultimately, and I think this is a very important point and attribute of our business. Ultimately, when -- the customer has to start spending money again or they’re going to deplete themselves out of business and it is likely that the first place they are spending money is production enhancement. And a lot of the P&A deferrals that they have managed to accomplish. Well, that’s a deferrals, it’s not a permanent reduction. So we believe and it is logical to assume that well intervention will bounce back quicker.
Owen Kratz: I think there is an interesting note here in the North Sea as well because lot of this, although, it’s not a prescriptive regulatory environment here. The government actually does not want to see cessation of production on fields. So I think there will, I oppose to the Gulf where there is a regulation pressure to increase P&A, I would actually say it’s a reverse here, there is a certain government pressure not to accelerate P&A and they would much prefer to see the production enhance than in cessation of production avoided.
Bill Zalem: That’s helpful. Allow me to shift if I may to the Q4000. I don’t believe that in this call you have talked much about the utilization that you expect here in the near term, specifically in the Q3 and Q4. Would you share with us what your window into that is at this point?
Erik Staffeldt: I’ll take that, Owen. I think Q3, we are optimistic or positive that the Q4 will have high levels of utilization, but it’s not a 100% locked down. Q4 looks pretty good.
Owen Kratz: There is no other Q4 in the world right now either. The Q5 is on the way, but Q4 is without a doubt the preeminent intervention vessel in the world. So I guess the reason we don’t really talked about it is that we almost take it’s a utilization for granted.
Bill Zalem: And is there a seasonality that we should be thinking about with Q4 you mentioned? Do you think there is good works in Q4, but is it less than Q3 due to a normal level of seasonality or is that not really a factor there?
Owen Kratz: That’s a changing landscape. I think what the producer are looking for is to derisk their operations. And of course, when they do work through the wintertime, I think they are going to be pressing for contractual changes as to how weather is treated, how much flexibility do you have for going during certain weather windows etcetera. So I’d say that’s a little bit influx right now, but you’re going to see a little bit more pressure on returning to more of a -- there is a lot more demand during the season than throughout the year now.
Bill Zalem: Thank you. And then one final question that you had the taxes that flow through the P&L, even though you had a net loss. Would you discuss that dichotomy please?
Owen Kratz: Yes. Sure. When we have this kind of levels of pre-tax earnings slight nuisances and where you make money will have a dramatic impact on your tax rate. That being said, for the entire year we’re expecting kind of mid-teens type of tax rate. A lot of depends on where our earnings ultimately play out North Sea versus Gulf of Mexico. But for the entire year, we are looking at approximately mid-teens tax rate.
Bill Zalem: Great. Thank you, gentlemen.
Operator: [Operator Instructions] Our next question comes from the line of Gregory Lewis. Your line is now open. Please proceed with your question.
Gregory Lewis: Yes. Thank you. And good morning. Could we just dive a little bit more into the Robotics? I know you mentioned on the call, the pricing was down, call it 15%ish plus. As we try to back into the revenue guidance for Robotics, it looks like the second half is going to be similar to the first half. So just thinking about that, it seems like there should be a pickup in activity in the back half of the -- either in Q3, in terms of utilization. Is that the right way to be thinking about that?
Owen Kratz: I think we'll have Q3 that has the potential of doing marginally better and Q4 that will see a seasonal drop-off.
Gregory Lewis: Okay. All right. Perfect. And then just real quick, I realize we’re coming up on the hour. Just as we think about 2016, clearly you mentioned lower for longer on the call. It seems like there is a real -- from your perspective, there is the ability to really just put the brakes on maintenance CapEx. Growth CapEx, it is what it is, it seems like there is going to be some delays. There has been one delay. There will probably be a couple more delays in terms of growth CapEx. Is it fair to think that you can -- that Helix can get its on an ongoing maintenance CapEx? It seems like you'd be able to get it basically almost to nil in the $20 million range. I mean, it doesn't seem like there is -- is it right that there is no scheduled dry dockings for the next one to two years?
Owen Kratz: Well, our dry dockings are staggered. So we will always have probably one or two in each year. It’s rare that we have none. Erik, do you know what our dry dock schedule is right now for '16-'17?
Erik Staffeldt: It just seems like we had a bunch of them.
Tony Tripodo: I believe that there is one potentially schedule first for '16.
Erik Staffeldt: Correct.
Gregory Lewis: Production vessel. Okay. All right, guys. Thank you very much for your time.
Owen Kratz: But you are correct in that once we complete these shipyard construction contracts, our CapEx obviously comes way, way down.
Gregory Lewis: Okay. Thank you very much.
Operator: There are currently no further questions on the phone lines at the moment.
Owen Kratz: Okay. Well, thank you very much for joining us today. We very much appreciate your interest and participation and look forward to having you on our third quarter 2015 call in October.